Operator: Ladies and gentlemen, welcome to the Evolution Gaming Group Q2 Report 2021. Today, I'm pleased to present CEO, Martin Carlesund, and CFO, Jacob Kaplan. For the first part of this call, all participants will be in a listen-only mode; and afterwards, there will be a question as a session. Speakers, please begin your meeting. 
Martin Carlesund: Good morning. Welcome everybody to the presentation of Evolution's interim report for the second quarter 2021. My name is Martin Carlesund, and I'm the CEO of Evolution. With me, I also have a CFO, Jacob Kaplan.  As usual, I will start with some comments on our performance in the quarter. I will then hand over to Jacob for a closer look at our financials. And after that, I will round off our presentation with an outlook for the rest of the year. Then we are happy to take questions. Next slide please. I'm happy to present the fantastic development of Evolution in the second quarter. As usual, it has been a quarter with extremely high operational activity, and the great result is an outcome of the hard work performed by all employees. The combination of global demand for our products and constant pursuit of cost efficiency, together with energy, hard work and high ambitions of all employees, all sums up to the fantastic numbers.  Altogether, we reached EBITDA of €174.7 million and an EBITDA margin in the quarter of 68%.  Our live business continues its exceptional growth from the first quarter. For the second quarter in a row, we grow close to 60% compared to previous year. We're also continuing to reshaping the roadmap for R&D, and R&D revenues increased slightly from Q1, but are 2% lower than Q2 of 2020. The reshape of the roadmap has, among other things, created Starburst XXXtreme, which was really after the second quarter ended, but it's the strongest fleet ever made in the history of NetEnt. The opportunities in the US markets are also promising, with states becoming more and more positive towards regulation of online casino. Next in line for our US expansion is Michigan. The studio is fully ready and was approved for launch during Tuesday this week. We're now in the practical startup for go live, which will happen tomorrow.  A new studio will always get attention, but let me assure you that we are expanding in all our studios at the moment as demand of our product is increasing worldwide. Expanding our studio capacity means that we need to recruit a lot of new employees. The recruitment pace is high in the quarter, and we hired over 1,000 new fantastic talents, the highest recruitment number ever in a quarter.  At the end of the quarter, we're closed the acquisition of Big Time Gaming. The acquisition was announced early in the quarter, actually in April. And BTG are one of the most innovative slots creators in the world and we very much look forward to start working on what we can do together.  In the quarter, we also announced that we will start a US rollout of Lightning Roulette in the land-based casinos together with Scientific Games. I'm also very happy for our five wins at this year's EGR B2B Awards. We took home awards for both our Evolution brand and Red Tiger brand, including Live Casino Supplier of the Year. And this is actually the 12th consecutive time we win that award.  Now, let's move to the upcoming slides and see the effect of numbers and products on all our efforts. Operator, next slide pleaser. After the phenomenal first quarter, I'm very pleased to see the continuing strong developments in the second quarter, with a growth in Live Casino almost reaching 60% again. Let's look at the financials. Revenue in the quarter is almost €257 million, an increase of 100% compared to Q2 of 2020, with live revenue growth of 59%. RNG increased slightly from the first quarter, but declined 2% comparing to NetEnt's reported figures of 2020. The reshaping of the slots roadmap is going well and I look forward to the second half of the year.  EBITDA increases from €81 million to €175 million in the quarter, a good increase of 115% year-on-year. I'm also satisfied with the EBITDA margin of 68% in the quarter.  With a margin in Q1 of 67.9% followed by a margin of 68% in the second quarter, we can conclude that the guidance we gave for the year of 65% will be exceeded. I expect we can maintain the current level also during the second half of the 2021.  Second quarter is a strong follow-up for the first quarter. We will now act as one company after acquisition of NetEnt and we are definitely well placed to further strengthen our market share and continue to widen the gap to competitors in the second half of 2021. But as always, we need to work hard and become better every single day. Next slide please. As I think most of you know by now, bet spots is to be seen as an indicator for the activity in our live network. So, this has not changed and only shows the live part of the total EVO network.  The positive trend of bet spots continued in the second quarter. The number of bet spots from end users amounted to €117.5 billion compared to €11.9 billion the same period last year, which is a growth by 47%. Also compared to Q1, there is an increase of 2%.  The effect of lockdowns, canceled sport activities, and closed land-based casinos on the demand for our products will level off as pandemic circumstances improve. At the same time, we will be able to operate with full capacity and get back to efficiency and catch up the pent up demand in live. Many of the new players that have been introduced to live casino during the recent year will continue to accelerate the growth in the long term.  Next slide, please. We continue to increase headcount. At the end of the period, we exceeded 11,000 in staff. We have high demand on expansion right now. There's still demand lagging from 2020 as operators have increased their traffic, but we were limited in our supply of tables.  In the second quarter, we added over 1,000 people and expanded in basically all of our locations. We will continue to expand both in existing studios as well as new studios. As stated, Michigan will go live tomorrow and we will add two new students in Europe by the end of this year and also expand and also add one new delivery studio in Canada during -- beginning of next year.  While stating these ambitions, it's worth reminding ourselves that the pandemic continues to impact our expansion plans. We continue to follow guidelines set by the countries that we act in. The overall situation is improving, but it's still very hard. And I must stress the fact that the pandemic is not over.  Next slide. Our RNG business amounted to 21% of our total revenue in Q2 and live represented 79%. We continue to widen the gap to competitors. No one else has the product portfolio to match ours and no one adds as many high quality games. In addition to new titles, an important part of our product development is to constantly improve the gaming experience in our existing games. Securing the long-term quality through continuous improvement is essential in our ambition to increase the gap to competition.  Recently, we've done enhancements for baccarat, Dream Catcher, Monopoly and blackjack, always with a focus to create a richer gaming experience. Blackjack is a good example where we have finetuned our interface and implemented [indiscernible] feature all our blackjack tables. It enables the player to clearly see the real cards dealt when playing in portrait mode on their phone. It's a neat feature that we provide as a service to our players and operators.  About a week ago, we launched Starburst XXXtreme, a new slot title based on the iconic Starburst slot game. We've been working hard to keep the classic features of the original Starburst that made the game so popular and then we incorporated them into an extreme version. It has been well received with players, and it's so far the strongest release in NetEnt's history. Both our Red Tiger and NetEnt brands have strong lineups for the operators and players during the second half of this year.  It's important to point out that we continue to innovate. An example of that is our agreement with Scientific Games to make our multi-award winning live online Lightning Roulette game available in land-based casinos worldwide.  As mentioned earlier, the combination with NetEnt will create opportunities for game development in RNG as well as live and in combination of the two. I'm very excited about the new games that we will launch during the second half of the year as well as the roadmap for 2022, both in RNG as well as in Live.  Next slide please. On the slide, you will see some of the live games that we are launching during the second half of this year. Like previous year, we'll do some new traditional table games titles as well as more game show style games.  At Evolution, we're working hard to mold the casino industry. That has been in our DNA since the beginning. In the game show category, an overarching theme this year is to add more decision-making to the player. In the early game shows, players placed the bet and then waited for the result.  This year, we're adding player control to the games, games where the player can make choices during the game. [indiscernible], we introduce some player choices in bonus rounds, but this year we give the player more choices and control, providing a more active player experience.  We've already seen this with Gonzo's Treasure Hunt that we released in June, and it will also be large part of our next game show Cash or Crash. That will be launched later this year. With these games, we are further developing the game show category, and I think it will also expand to audiences for these – expanded audience for these games.  There will be four new live games with an Asian flavor to them this year. Baccarat Red Envelope is already launched, a variation of traditional games, but adds multiplayers and [indiscernible]. And later this year, there is another variation of bacca called Golden Wealth Baccarat. Furthermore, in Q3, we will launch Bac Bo, a dice game in the spirit of Baccarat, and in the Q4 we will release Fan Tan, a simple, very beautiful ancient game. It has been around for hundreds of years. And it's now coming to Evolution Live.  Also, in the traditional table game space, later this year, we'll release Lightning Blackjack. And this is the third game type on the Lightning brand, a brand players have gotten to love through Lightning Roulette, Lightning Baccarat. I won't give you the details of the game away here, but it's an enhanced blackjack experience and it's out later this year. These are some of the gains that will come during the coming months.  Operator, let's move to the next slide please. This slide shows the breakdown of our revenues by geographic region and it's evident that demand is truly global. We see very good growth year-on-year in all regions and markets. This is naturally partly by acquisition, with the addition of NetEnt, but also our Live business growth rate.  Looking at the fully organic development for Q1, we see that European regions are stable and slightly lower in UK. As we have seen during the past year, Asia and North America are growing fast. Year-on-year growth amounts to 133% and 220% respectively. Also, compared to Q1, both regions grow with over 20% growth quarter-on-quarter. We see good potential in both these markets and expect the continued high growth rates going forward.  Other, including South America, Africa, and remaining of [indiscernible] good growth of 23% compared to Q1. Revenues from regulated market shows a growth of over 100% compared to last year and is stable from previous quarter at 40% of group revenues.  I will now pass on to Jacob who will speak more about financial details. Next slide please.
Jacob Kaplan : Thank you, Martin. Good morning, everyone. We'll now move on to a couple of slides with a closer look at our financial development during the period. I'm on slide number 9.  Revenue amounts to €256.7 million in the second quarter. That's made up of €203.7 million related to our Live Casino product and €53 million from our RNG games.  As Martin mentioned earlier, the Live Casino growth has been very strong in the first half of this year, with close to 60% growth. It's a high growth rate for us. As a comparison, our full-year 2020 growth in Live Casino was just under 50%. So, the pace has picked up during this year.  There's no one factor to explain the increased growth rates this year. Mainly, it shows the strong underlying growth in Live Casino with players. Then, of course, we try to do our part by continuously broadening our product offering and making the games as entertaining as we can. Also, many players found our games during last year. Many new players found our games. This, in combination with our ability to add more tables this year, also supports growth. So, all in all, many factors contributed. Our RNG revenue is €53 million in the quarter. This is slightly up from Q1 of this year, but down 2% compared to the NetEnt reported numbers in the same quarter of 2020. NetEnt did have a pronounced spike in volumes when the pandemic kicked in during the second quarter last year. So, comparable figures were high for RNG in this quarter.  Our reworking of the product roadmap is ongoing. And as Martin mentioned, we feel we're clearly moving in the right direction with both the NetEnt and Red Tiger brands. So, good outlook. EBITDA for the quarter amounts €174.7 million and an EBITDA margin of 68% in the quarter. The margin level is in line with what we reached in the first quarter. Our guidance for full-year 2021 at the start of this year was that we would reach 65% EBITDA margin for the full year. After two quarters with margins around 68%, we see that we can maintain that level also during the rest of the year. So, we are adjusting that original guidance from February.  As you can see in the chart, we have a good scalability in our operation. So, we've been able to over time improve margins as top line has increased. Right now, we're seeing a very high demand for tables. And we'll expand our operations as fast as we can during the rest of the year, naturally considering what the development of the pandemic will allow.  But this expansion will drive cost in the near term, but also contribute to future growth. This is in line with what we've often stated that our first priority is growth, should we see an opportunity to take on cost now to capture revenue in the future, we will prioritize that even if it means some pressure on margin in the short term.  To sum up, revised margin guidance for 2021 around the current level of 68%.  Operator, let's go to the next slide please. This slide shows our P&L in a bit more detail. Working through the table from the top, we see Live revenue, again €203 million. This is comparable to the €128 million in the second quarter of 2020. RNG amounts to €53 million in this quarter. And like you saw on the previous slide where we compare year-on-year growth for RNG, it will be against reported NetEnt figures this year – sorry, reported NetEnt figures from 2020. So, this slide is not the pro forma for 2020. Just to be clear on that. Total revenue, €256.7 million, an increase of 100% compared to reported revenue same period last year. And looking at the half-year figures, revenue amounts to almost €493 million, an increase of €250 million, also up just over 100% where over 105% is through acquisition on NetEnt. So, organic growth is 59% for the first half of this year.  Moving down to expenses. Also here, the comparison figures to 2020 do not include the acquired NetEnt business. Personnel expenses amount to €51.6 million, an increase of €21 million compared to the same period last year. Includes the increased staffs in operations where there's high pressure on adding tables at the moment and also in engineering and business support functions, where also staff from NetEnt is added this year compared to last year.  Depreciation amounted to €18.8 million, increased about €9 million in amortization and intangibles related to the NetEnt acquisition. Other operating expenses include items such as consumable equipment, communication costs, consultant royalties, and the line amounts to €30.4 million in the quarter.  So, summing up, total operating expenses totaled €100.8 million, an increase of 86% compared to the reported figures of the same period last year.  Moving down, operating profit sums up to €155.8 or €155.9 million, I guess it should round to. Taxes at €8.7 million in the quarter for a tax rate of 6%.  This sums up to a profit for the three-month period of €144 million, equals earnings per share of €0.65 per share for the quarter. And for the rolling 12-month period, €2.11 per share. Operator, we'll move on to the next slide. Thank you. Before I hand back to Martin, quick look at cash flow and financial position. Starting to the left of the slide, the chart shows development of capital expenditure. The gray part of the bars represent investment in tangible assets. This is mainly our studio construction. It's just over €5.5 million in the quarter.  Martin commented earlier on our plans for new studios and also continued investment in current studios. We are about to launch in Michigan, but we'll also continue to expand there in the coming quarters. Other ongoing projects include two delivery hubs for the whole network in Europe and also a new studio in Canada. In addition, we're expanding in almost all current locations at the moment.  The blue part of the bar is investment in intangible assets, and it's related to development of new games and features to the platform. It's €7.1 million in the quarter, up a bit compared to the same quarter of 2020, but now also includes development of NetEnt and Red Tiger games, of course.  Year-to-date total CapEx is €26 million, the slightly lower run rate than our estimated CapEx for the full year of approximately €60 million, so we expect the slightly higher CapEx for the second half of the 2021.  In the middle of the slide, we show operating cash flow. Cash flow was good in the quarter, over €100 million. The cash conversion percentage on a rolling 12-month basis is down from Q1, but still on a good level at just over 70%.  To the far right of the slide, a quick look at the balance sheet. We do add Big Time Gaming at the end of the period. And also paid dividend, €145 million, during the quarter, as well as the cash part of the payment for BTG. So, the remaining cash balance at the end of the quarter is €200 million at the end of the period.  I'll stop there and hand back to Martin for some closing words and we'll take questions after that. Martin?
Martin Carlesund : Thank you, Jacob. Fantastic. A few words to conclude this report presentation. Gonzo's Treasure Hunt and Starburst XXXtreme are the first examples of what can be created with putting great minds in the same room. Simply both fantastic, innovative games. And you know that innovation and products are the core of what we do. We're always about focus on the best game experience, and we have a relentless approach to always improve as a company. Looking ahead, I have high expectation on the games already released this year. And I feel very excited about the lineup for the rest of 2021. I get even more excited when I look at the roadmap for 2022. And that is very positive.  To go live in Michigan tomorrow is yet another important step for our continued North American expansion. However, the demand for our products is global. And we need to invest in studio capacity in all our locations as well as build new ones.  In addition to our investments for the future in the form of new studios, we constantly need to stay ahead and further strengthen our market leadership. And as always, we will do our utmost to continue to increase the gap to competitors and improve our offering to operators a little bit every single working day.  Thank you all for listening. Enjoy the rest of the summer. And we'll speak in a couple of months again. Now it's time for questions. So, let's move to questions. The next slide.
Operator: [Operator Instructions]. Our first question comes from the line of Ed Young from Morgan Stanley.
Ed Young: I've got three, if that's okay. The first one is on margins. Obviously, you've given very clear guidance around it. So, I won't press the point there. But if I look at the cost development during the quarter, it looks like personnel costs were very well contained yet again. So, up 6% quarter-on-quarter versus 9% quarter-on-quarter revenue growth for the group. So, if I think about the moving parts for why margin should stay flattish as the biggest growth area was other operating expenses, which I appreciate is bit more of a lumpy cost line. What is it in that that's higher? Is it build costs? Is it game production? Is there other areas there? And is that going to continue to sort of be a little bit outside compared to normal in order to keep margins at that sort of flattish level in H2 versus H1? That's my first question. Thanks.
Martin Carlesund: The most important thing is, of course, for us to capture the market share. There will be an expansion phase coming into the second half of the year where we build and construction cost and and we will recruit people before going live and expansion will cost a little bit of money. So, I would say that is the reason for margin guidance [indiscernible].
Ed Young: The second two are on growth. So, I think the product pipeline is a little bit more H2 skewed than normally. In NetEnt, it was pushed out a bit with the product roadmap refresh, I guess. And it feels like the other products are slightly sort of later. So, how should we think about the impact of product releases on growth compared to where you were in H1? Obviously, it was a very strong growth rate in H1. But is there going to be a visible impact on that or is it just maintaining the strength of the overall offer? How should we think about the more H2 skewed product roadmap?
Martin Carlesund: We made a major acquisition, as you know. It's only six, seven months ago. And we act as one company already now and we reshaped the roadmap. We did a lot and we put products together between the between slot and live. And we're very happy with that. And that means that we pushed a little bit of the roadmap, but it also means that it takes effort to do those things. Among other things, we also completely redone the tech stack and the back end which is phenomenal for NetEnt and will be now integrated into Evolution. So, I would say that we look forward very much to H2 and we see that we have a little bit skewed, a little bit more coming out in the H2. But as I stated, I even more look forward to 2022.
Ed Young: Finally, on capacity, obviously, a lot of additions going in with another European studio this year, plus Canada, plus you flagged LatAm. I wondered if you just talk a little bit about how much line of sight you have that demands that you're – for the demand for the capacity you're putting in there. So, in terms of pre-selling tables, or is it you can just see in terms of the system that you're underserving the demand you're seeing, is it anticipating where things would go? There was obviously a balance between those. If you could just give a bit of color on sort of what lies behind the rate of capacity additions that you're committing to.
Martin Carlesund: We don't comment on the orders or how we are in that. But we see good demand. And we see that we need to build a lot of studios during both 2021 H2 and 2022 to actually cover the demand that we see.
Jacob Kaplan: Of course, we're coming off the year last year where we really were not able to expand. So, still many new players. All operators have increased traffic. So, there's is almost a bit of pent up demand from last year that we're sort of step by step working through. So, I think that also supports the increase in tables. 
Operator: The next question comes from the line of Oscar Erixon from Carnegie.
Oscar Erixon: Continued impressive performance for Live. Could you talk a little bit about what drove the strong sequential performance and market share gains in North America, especially in terms of US versus Canada, live versus slots? 
Martin Carlesund: Can't please specify what do you want to elaborate?
Oscar Erixon: On the North American performance which was very strong sequentially, if you could elaborate on the mix between US versus Canada and also live versus slots please.
Martin Carlesund: I think, right now, the driving force in North America is, of course, United States. But Canada is also doing well. But it's still a smaller part of the market. So, I would say that US is the strongest development and contributing the most. I would say that both live as well as RNG developed well. As we stated, we have not been able to deliver as much as we should with live. So, there's quite a potential as we come out of the pandemic, or hope to come out to the pandemic. Feeling quite uncertain on that right now. But if that gives you a little bit more flavor.
Oscar Erixon: Two more questions, if I may. First of all, how is the launch of the Red Envelope bonus or multiplayer business in Asia? I know it was described by your CTO as a wonderful launch. And also there, what H2 launch do you think has the largest potential in terms of growth additions? 
Martin Carlesund: The Red Envelope, it's fantastic. We're very happy with it. I don't want to comment any figures, but we're happy with it. It's a good launch. It's actually reshaping the baccarat world right now. When it comes to put one product against the other, we already stated that Starburst XXXtreme is actually the strongest release ever in that front, which is fantastic. So that is, of course, a runner up for that. But it's hard to say which of the products that actually the player will find the most interesting.
Oscar Erixon: A final question from me. European markets a little bit softer here sequentially in Q2, as also noted among operators this quarter. Apart from the UK, are there any markets that stand out negatively, positively? And do you see this as an opening up effect? And if you could comment on sort of the outlook for the second half of the year in Europe as well. 
Martin Carlesund: It's sort of a soft question in itself, but the opening up effect is very hard to put any figure on. We stick to the comment that we did already for the Q1 report 2020. But when it comes to live, it's hampering our delivery capability with COVID. On the other hand, activity increases. And putting these together, it's neutral or maybe not positive. So, coming out of the – whenever we do and however we do it, coming out to the COVID for live, it would be increasing the delivery capabilities and then maybe taking down the activity a little bit down, neutral or a notch negative. That's sort of the comment on that.  RNG, when it comes to math, and you can see it last year that there is a clear bump up in Q2 and then it falls back a little bit in Q3, Q4, and that might be the COVID effect. I would say it's more smooth. I don't know which is what, if it's seasonality or not. So, that's where we are with that. I think that I will leave it with that.
Operator: The next question comes from the line [indiscernible]. 
Unidentified Participant: I have two questions regarding the bet spots. First of all, if you just can describe the – well, the growth rate and the declining growth rates Q-on-Q. And second of all, I have looked at the revenue from bets, so to say. And I've noticed a sequential growth quarter on quarter for the last four quarters. This is due to the mix for products or geography?
Jacob Kaplan: Like we've said a few times before, the bet spots numbers, it's more like a rough indicator of the general activity in the network. So, from one quarter to the next, it's not always so – we've had quarters when bet spots increased a little bit more than revenue. And this quarter, it's a little bit the opposite. So, I don't really have a sort of a – how to break it down. Also, yeah, remember, bet spots are only for the live business, so it doesn't reflect the RNG activity. 
Unidentified Participant: And the revenue for bets, so to say – okay, that was my question. 
Operator: And the next question comes from Martin Arnell From DNB Markets.
Martin Arnell: Martin, you mentioned the pent up demand from last year, given the studio restrictions. Have you delivered most of that demand ahead of the football euros or is it a good chunk left? 
Martin Carlesund: The simple answer is no, we haven't. 
Martin Arnell: It's still very special times here with the pandemic, etc. So, I think it would be very helpful if you could comment if you see any change to the top line trends in the first 20 days of Q3.
Martin Carlesund: If I stay on the COVID, I can't see any super clear effects on COVID opening or closing. It's still here. It's hampering our capability to grow. There are restrictions. They are a mess. There are temperature controls, there are social distancing. That's actually the effects that I see of COVID. If UK is opening more or less, or Germany or this or that, I don't know. I don't see any clear effects of that. 
Martin Arnell: So, there is no change in the top line trend so far in Q3?
Martin Carlesund: I don't see any clear effects of COVID when it comes to that. 
Jacob Kaplan: We don't comment on the – it's just the first few days of the quarter. 
Martin Carlesund: We're happy with the start of the quarter. It's fantastic. We see the Starburst XXXtreme. I look forward to the second half of the year. It's an exciting time. We're coming into the quarter in a good way. There's a lot of positive things. But explicitly, to connect that to COVID or not connect it to COVID, I don't see any clear effects of COVID. It's almost impossible for even government to see the effects of it. 
Martin Arnell: On the trading in the quarter, in Q2, was the growth evenly spread out or did it increase in the end of the quarter in relation to the football euros? Or was it stable throughout the quarter?
Jacob Kaplan: We're talking about the quarterly results. So, we don't go into the separate months. I guess we could quite elaborate a little bit on the Euros, which I would say this year was not that – if we look back at previous championships, we've had – in 2016, it was – it's always a driver of table sales. But I would say then, you could say that the volumes during the championship weren't really that much affected. It's mainly a sports betting event. And maybe in 2018, when we had the World Cup, we actually did see – not every day, but more of a pickup during the tournament as a whole. And I would say, this time, it wasn't that significant. So, it's a great quarter with strong growth overall. And at some level, the Euros contribute to that. But it's not that the Euros themselves were that kind of clear spike this year.
Martin Arnell: Maybe you touched upon this, but I have to ask you. The margin guidance, 6% to 8%, that includes the BTG consolidation, right? And BTG has an even higher margin than the existing group. So, how should we think about that equation? 
Martin Carlesund: It includes the BTG. But in relative terms, BTG is a much smaller contribution to the margin. 
Martin Arnell: But you're ramping up the staff and delivery and the studio. So, that increases the cost a bit here and you want some headroom. Is that the way we should be [indiscernible]? 
Martin Carlesund: Yeah. I would say we are ramping up as much as – as fast everywhere that we can. 
Martin Arnell: Final question. US expansion. After Michigan, is it fair to assume Connecticut and West Virginia? And finally also, when do you expect a studio in LatAm?
Martin Carlesund: Connecticut is a fair assumption. Yes. As far as we know, we are already on to it. And I don't see any runner up that could pass Connecticut right now. But it could happen. It's a political process, as always, but Connecticut is a fair assumption. We're already present in Latin America. So, there is all our studios there. But we could expect to start some studio there. But I would assume anything like that would be late H2 or maybe even from 2022. 
Jacob Kaplan: 2022.
Martin Carlesund: Yeah. Start. Not live. Start. 
Martin Arnell: Yeah, you have operators there, but you don't have a studio there today. Right? In LatAm. 
Martin Carlesund: We have a joint studio with – so we have a studio there…
Jacob Kaplan:  [indiscernible] has a studio there.
Martin Arnell: Jacob, final. The negative change from working capital, was that normal swing? Or is it anything special in there? 
Jacob Kaplan: No, nothing special. So, normal swings. We've seen in the past that sometimes it's a little bit lumpy development in the working capital. So, I would say nothing else to the ordinary.
Operator: And the next question comes from the line of Erik Moberg from ABG. 
Erik Moberg: Most of them have already been answered, but just a follow up here on the cash flow. Operating cash flow up 33% year-over-year. EBIT up 110%. Could you perhaps elaborate a bit more on the drivers behind this and if there was any specific region that was the cause of this?
Jacob Kaplan: No, it's a little bit like we just commented on. I would say – there's nothing really that stands out. In looking over the year, we've seen this variations in the past. So, nothing really to add there.
Erik Moberg: So, for Q3, should we expect this to come back to normalized levels?
Jacob Kaplan: Yes, I think so. We don't make kind of a quarter-to-quarter assumption. But, yes, this is slightly – if you look at the accounts receivables versus revenue, I think we're slightly higher this quarter than what we've been on average for the past, let's say, 18 months or so. So, sure, reversion to mean is natural. 
Operator: And we have one more question from Marlon Värnik from Pareto Securities. 
Marlon Värnik: Just two questions from my side. First, on the hybrid – on the live dealer RNG games, how will you book this going forward? How will be the split between your reporting figures going forward? 
Jacob Kaplan: It depends a little bit. In the games that utilize sort of RNG IP, we'll split a little bit in between. Gonzo's Quest is sort of just a little bit – it goes in both categories, but it's sort of in – on a kind of a game by game basis. 
Marlon Värnik: Another question also on the two European delivery hubs or studios you're looking to deliver in 2021. What are you looking for when picking those locations? Would it make sense, for example, to be more closer to Asian speakers to deliver to the Asian market? Or what's the strategy behind the locations here in Europe? 
Martin Carlesund: One of them is an expansion hub for English and one is an expansion hub for international languages. So, we're looking to place one where we can recruit international workforce and one where we can recruit English speaking workforce. 
Operator: And as there are no further questions, I'll hand it back to the speakers. 
Martin Carlesund: Okay. Thank you, everyone, for listening. And thank you for your questions. It's been a fantastic quarter. We look forward to the second half of 2021 with all activity and everything we need to do that. It's a pile of things that we need to get done during the second half. So, thank you very much for listening in. See you in the quarter. 
Jacob Kaplan: Bye-bye.
Martin Carlesund: Bye-bye.
Operator: This concludes our conference call. Thank you all for attending. You may now disconnect your lines.